Operator: My name is Kyle, and I'll be your conference operator today. At this time, I would like to welcome everyone to the First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session (Operator Instructions). Thank you. Mr. Brown, you may begin your conference.
Colby Brown: Thank you, Kyle. Good afternoon, everyone. And thank you for joining us to discuss our first quarter fiscal 2015 results. Joining me on the call today are Bill Cobb, our President and CEO; and Greg Macfarlane, our CFO. In connection with this call, we have posted today's press release on the Investor Relations Web site at hrblock.com. Some of the figures that we'll discuss today are presented on a non-GAAP basis. We reconcile the comparable GAAP and non-GAAP figures and the schedules attached to our press release. Before we begin our prepared remarks, I'd like to remind everyone that this call will include forward-looking statements as defined under the securities laws. Such statements are based on current information and management's expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict. As a result, our actual outcomes and results could differ materially. You can learn more about these risks in our Form 10-K for fiscal 2014 and our other SEC filings. H&R Block undertakes no obligation to publicly update these risk factors or forward-looking statements. With that, I'll now turn the call over to Bill.
Bill Cobb: Thanks Colby and good afternoon. I hope everybody had a great Labor Day weekend. Earlier today we announced our first quarter results for fiscal year 2015 which ended July 31st. As many of you know our first quarter results are not indicative of our financial performance for the full year given the seasonality of our business. As such our prepared remarks will be relatively brief. I’ll provide a few initial thoughts in the year ahead and then Greg will take you through the details of our first quarter results. We’ve been hard at work this summer continuing to move forward with our planned bank transaction with BofI and refining our short and long range plans for the upcoming tax season and beyond. We’re looking forward to the upcoming tax season as we continue to demonstrate our value and expertise to our Tax Plus strategy and as our clients begin to face complexities in their tax situations resulting from the Affordable Care Act. While there is a lot of work to do I am confident that we’re poised to take advantage of the long-term opportunities that lie ahead. We had a strong year in 2014 and we’re ready to carry that momentum into next year. We’ll have much more to say about this during our investor conference in December but today I’d like to offer a few thoughts regarding H&R Block Bank, the upcoming tax season and our efforts regarding healthcare reforms. First, let me provide a brief update on H&R Block Bank. As most of you know, in April, we announced an important step in our effort to exit the bank and cease being regulated as savings and loan holding company. H&R Block Bank entered into a definitive purchase and assumption agreement to sell certain assets and liabilities to be a federal bank. The parties also agreed to the terms of a program management agreements to form a long-term relationship in which BofI will offer core financial services products. The Emerald Advanced line of credit refund transfers and our general purpose reloadable debit card the Emerald card to H&R Block clients. Our transaction with BofI remains subject to regulatory approval and we continue to expect to complete this transaction in time for tax season 2015. I understand that many of you are interested in specific dates and time lines for the completion of this transaction. We’ll issue a formal announcement once we’ve received all required decisions from the regulators regarding their review. If approved we then expect it will take approximately 30 days following regulatory approval to close the transaction. As has been our practice we’ll continue to provide relevant updates whenever it is appropriate to do so. Turning to the next tax season. After returning to normal growth levels in 2014, we expect total IRS filings to continue to grow between 1% to 2% in 2015. We expect the assisted category to grow modestly and the digital category to outpace overall industry growth to the continued migration of those who previously filed using pen and paper and earn income credit filers. We have taken an industry leadership position against tax fraud and continue to advocate for consistent standards in both assisted and DIY tax returns in all respects. And in particular those are that contain the earned income credit. Until such parity standards are in place, we believe the industry will continue to see a shift in returns containing these credits from assisted to DIY. Aside from the EIC shift, we continue to expect the mix of assisted and do it yourself filers to be relatively consistent with prior seasons. Our primary goals in 2015 will be to continue executing on our Tax Plus strategy and growing our business profitably. We will also continue making investments to enhance our service offering and to update our offices and technology to ensure we’re well positioned to continue offering best in class service to our clients in the coming years. In digital, we’re entering the second year of a multi-year effort to enhance our products and drive improved market penetration, conversion and monetization. I am confident that Jason Houseworth and his team will continue to execute on our strategy to simplify the user experience and to grow the business. From an operational perspective, we’re in the midst of preparing our network for the changes resulting from the Affordable Care Act; updating our systems, training our people and finalizing our strategy for 2015. As most of you know the IRS released many of the draft forms in late July offering the industry at first glimpse of how the law will be implemented from a tax perspective. Additional worksheet and instructions are anticipated which will enable us to gain a fair understanding of how ACA will impact tax returns. Thus we won’t cover too many details on today’s call, but we’ll highlight some key takeaways from graph forms released since July. First, as expected the forms are very detailed and can present significant complexity depending on the filers covered status during year, income levels and household composition. Depending on these situations, there are instances where filers may need to file multiple new tax forms and complete additional worksheets. Second, while 1040EZ filers maybe not necessarily be the primarily demographic impacted by the ACA those that received an advanced tax credit will no longer be eligible to file their returns on a 1040EZ. Third, many filers who did not have qualified health insurance coverage for the full year will either face a tax penalty or will be eligible for an exemption. Depending on the type of the exemption, the process to claim it could be quite cumbersome and time consuming. Finally for this coming tax season, those filers whose households are covered by qualified health insurance plans will be able to sell to test their coverage status on their tax returns without the need to provide additional documentation. After analyzing the early drafts of these new forms, we continue to believe that healthcare reform will impact our claims and intern presents an opportunity for H&R Block to demonstrate our value. As we said all along; however, it’s going to take a few years for the opportunity presented by healthcare reform to develop. This is a long-term play and we’re making smart investments now to ensure we’re prepared to serve our clients and meet their needs when they turn to us for help in understanding how the new law impacts them. We believe we’ve committed more resources of this initiative than any in the tax industry. And I am confident we’ll offer unmatched value as Americans seek assistants. We’ll provide further details regarding our efforts during our investor conference in December. With that, I will now turn the call over to Greg to discuss the first quarter financial results.
Greg Macfarlane: Thanks Bill and good afternoon everybody. Early today, we reported our results for the first quarter fiscal 2015. As a reminder, due to the seasonal nature of our business, these results are not indicative of our performance for the full year. Adjusted net loss from continued operations was unchanged in the prior year quarter at $108 million or $0.40 per share. GAAP net loss per share from continued operations was also $0.40 per share representing a $0.02 improvement over the prior year. Turning to our segment results, tax services revenue increased $7 million to $129. This increase was driven by the extension of Canadian tax season into May which shifted revenues from fiscal 2014 into the first quarter of fiscal 2015. On the expense side, total operating expenses increased $14 million to $280 million, higher depreciation and amortization from planned office and technology upgrades, increased wages, and higher occupancy costs drove most of the increase as an expense. This was partially offset by lower foreign exchange currency losses and legal fees compared to prior year. The second pretax loss increased $6 million to $151 million. In corporate, revenues declined slightly due to lower interest income from H&R Block banks diminishing mortgage loan portfolio. Operating expenses declined $16 million primarily due to lower provisions for losses on mortgage loans held for investment and lower expenses related to the pending sale of our bank, accordingly our pretax loss in corporate improved $15 million to $25 million. Turning to discounted operations which includes results of Sand Canyon, our net loss of $7 million was $5 million higher than the prior year, Sand Canyon continued to engage in constructive settlement discussion with the counterparties from which it has received a significant majority of its certain claims. Based on continued settlements discussions with these counterparties during the first quarter, Sand Canyon recorded a provision of $10 million for potential losses related to its representation and warranty obligation bringing a total accrual July 31st to $194 million. As reminder Sand Canyon is and always has been operated as a separate legal entity from H&R Block. We believe our legal position is strong on any potential corporate veil-piercing arguments. I will now turn the cal back to Bill for our closing remarks.
Bill Cobb: Thanks, Greg. In conclusion, I am pleased with the progress we’ve made this off season in preparation for tax season 2015. This year we’ll continue to focus on driving profitable growth and maximizing our value offering to our clients. There obviously remains much to do but as we look ahead, I like our competitive position and believe that we have the right people resources and expertise to continue to provide best in-class service to our clients. We look forward to sharing additional plans with you at our investor conference on December 9th in New York. With that, we’re now ready for questions. Operator?
Operator: (Operator Instructions) Your first question comes from line of Kartik Mehta from Northcoast Research. Your line is open.
Kartik Mehta - Northcoast Research: Question on the digital side of the business, you lost market share in the most recent tax season. How important is it for you to maintain the momentum you had in the two previous seasons and continue to gain market share as you go into the next tax season.
Bill Cobb: It was three previous tax seasons and then last year Turbo grew faster than we did on a unit basis and we grew faster than they did on a revenue basis. So I think it is important, I do think we made some great strides last year in terms of our user experience. Jason and his team did some great things in terms of getting more people to upgrade to different levels of the product. So I am not going to get into all the marketing details. But we remain committed to be a very strong number two in this category and we’ll compete vigorously as we go forward into next year.
Kartik Mehta - Northcoast Research: So does that mean that if price competition continues, it’s alright that you would also have to adjust your prices?
Bill Cobb : I am not going to get into any specifics at this point Kartik you know that. But we’re certainly mindful of what Turbo did last year, and we’ll be ready for this year.
Kartik Mehta - Northcoast Research: Greg can you just talk a little bit about the bank in terms of what does the drop dead date have to be for you to get approval if for some reasons something happens and you’re not able to get approval who would be the contingency plan?
Greg Macfarlane: Well I think it’s important to start with really the broader point here which is we really are targeting our bank, job number one. And in conjunction with that as they do it seamlessly from our client’s perspective and that continues to be our focus. We continue to believe that we’ll get this done by tax season. The drop dead dates kind of a very black and white term. But we believe we still have adequate time to get this thing done for the tax season.
Operator: Your next question comes from the line of Thomas Allen from Morgan Stanley. Your line is open.
Thomas Allen - Morgan Stanley: Not to push you too hard on that last point, but if it takes 30 days to 40 days to close the bank transaction and you typically start the Emerald Advanced product around Thanks Giving. Does that mean that you’re going to need to sell the bank around mid October or get regulatory approvals by around mid October in order to have the bank either be BofI or stay with you for -- or can you put to kind of close to the actual tax season?
Bill Cobb: Let me answer and then Greg if you want to add anything. Let’s go back to what Greg’s first point is. Job one is to exit the bank and cease being regulated as savings and loan holding company. We still believe that we will be able to do that in time to have a seamless experience to our clients this tax season. I am not going to get into specific dates but obviously we have talked to everybody about upon approval, assuming we get approval which we believe we will. It will take about 30 days to close. So you can do the math but where we continue to remain focused on is working closely with our regulators and with BofI we have formed a great partnership with BofI, our relationship with our regulators they are completely professional, they’re thorough. You all should be thankful of the job that they do. And I think we believe that this will still remain on the time line we’ve talked about previously.
Thomas Allen - Morgan Stanley: And then just in your prepared remarks you mentioned that you expect this assisted category to continue to grow modestly and digital category to outpace overall industry growth due to continued migration of pen and paper. But I think that some of us are hoping that there is going to be a shift from do it yourself to digital given the complexity of ACA. Do those comments suggest otherwise?
Bill Cobb : I wouldn’t read too much, I think what we’re talking about overall is we believe that the category we believe is normalized now and the 1% to 2% overall growth is correct. I think we’ve been pretty consistent on saying that until we get, we still haven’t gotten into a tax season where the Affordable Care Act has had an impact. It’s going to take a few years to see how that all shapes out. So that’s why we’re cautious on trying to predict any increase in the number of factor. We just have to see how this plays out. I do think what’s important for us is to have our tax pro’s [ph] ready, have them trained, have our office standards up high and we’re ready to certainly serve clients as they face into what we believe to your premise Thomas is correct that this is going to be much more complex. I am sure a number of you have looked at the forms and we do believe that people are going to need help in filing out these forms but again until it plays out we’re not going to get ahead of ourselves on this.
Thomas Allen - Morgan Stanley: And then just finally I saw on the quarter you announced the partnership with BMRG and you have been expanding your small business footprint due to that was zero. How big of an opportunity is this if you can elaborate on it at all that would be very helpful.
Bill Cobb : Again I want to be transparent but also say this is a pilot for us and we’re actually very excited about some of the steps we’ve taken, we’ve been in business services in a relatively small way for many years. We have a few thousand offices who offer business services and this is an attempt for us to have a best in class service for small business. We will be piloting it this year, so I would say stay tuned. But it is certainly something that we want to see if we can get a best in class offering and see what that does for us.
Operator: Your next question comes from the line of Gil Luria from Wedbush Securities. Your line is open.
Gil Luria - Wedbush Securities: Thanks for taking my questions. So, now that you’ve had a chance to look at the new form, sounds like you’ve done analysis. You shared great amounts with us last Analyst Day about how many people you expect to be in some of these categories. What’s your updated view over how many people are going to need, what proportion of overall customer base and then your customer base, is going to need to fill out any number of these new forms?
Bill Cobb : We don’t have an update today. Gil, I think what we’re planning on is updating as we get the full worksheets, all the rules, et cetera. We’re planning on doing that in December at the Investor Day. As I think when we’re travelling with you I said we probably not going to do as much disclosure as you’d like. But we will, I think we’ll be similar we’re planning and marching with our all presenting again. And I think we’ll give you an update at that point. We really want to get the full offering if you will from the IRS we’re working through how that masses up. There is not a lot of data at this point we know 8 million people enrolled but we still have -- and there are things coming out all the time. So I think we can give you a much better feel for that in December.
Gil Luria - Wedbush Securities: And then in terms of the health insurance product, are you going to try to do a few more pilots this year in your physical stores? Now that or in year two when hopefully the systems or the government systems are working a little bit better or are you going to stick with the online distribution for this next tax season?
Bill Cobb : We’re going to stick with the online distribution. We like the relationship we have with GoHealth; we think the user experience is excellent. The Phoenix pilot we are not going to continue with many of the clients who came in were more Medicaid clients and didn’t -- weren’t able to sign up on these changes. So I think we’re going to focus on and we think that that experience is actually the best for our clients. And so for this tax season that’s what we’re going to focus on.
Greg Macfarlane : And then just want to add to make it clear I know Gil but you understand that. But we said the online experience I mean what we’re doing is using the in store experience as a way to have a discussion with our clients about their healthier needs if there is an identified need then we would then basically forward them on encourage them to build the contact GoHealth, is there a phone number or to the online experience. As you went to a store you’d seen store merchandising, you’ll see signage, the actual tax software that sits there in front of the clients. There is information available to them and of course the tax professionals will be able to talk about it in a meaningful way. They’re of course not licensed or points so they can’t quote and quote sell insurance but certainly we’re going to use as an opportunity to encourage the client to move over to the GoHealth opportunity.
Bill Cobb : I mean, ultimately, we have an enrollment service which is a GoHealth opportunity. We will be engaging with millions of clients obviously on the tax implications enduring their 2014 tax returns and what the Affordable Care Act has brought.
Gil Luria - Wedbush Securities: And then finally on tax loss, Emerald Card, how do you feel about the kind of post tax season performance in terms of the reloads and the number of cards outstanding and where is that headed over into next tax season?
Greg Macfarlane : We continue to think to have a good story. We showed you good progress on the year end usage for the last two years I mean we’ve gone roughly from $35 a card, we’re into the mid-40s now, so that’s $10 per card over two year period. We haven’t given specific numbers over the summer at this point. You’ll probably see some more information on that at our December conference. But I would say in general that we still feel very good about what that bank team and our broader merchant [ph] team is doing around that area.
Operator: Your next question comes from the line of Scott Schneeberger from Oppenheimer. Your line is open.
Scott Schneeberger - Oppenheimer: Following up on the partnership with GoHealth and that sounds like you’re going online route versus the how you did in Arizona. Greg how should we think about that being accretive or dilutive? You gave some guidance on that last year on what that initial pilot was, the whole shebang. So could you just give us a little feel for a little less so now that you’re out of locations with humans or maybe a little bit more spend on online?
Gregory MacFarlane: I mean I think it’s important that we’re interested in this area. We think there is value for our clients and we think we’ve got relevancy here. The fundamental issue from a forecasting perspective is last season was so unusual with the delays with the government it was hard for us to use that information and to extrapolate but we’re prepared to put resources behind the GoHealth this year. GoHealth is a good partner as Bill mentioned earlier. This is going to unfold just like the broader healthcare opportunity but we are interested and that’s why we’re talking about it.
Scott Schneeberger - Oppenheimer: Obviously you mentioned the way to why the update on the form and we’ll obviously get an update in Investor Day I think the one question folks are looking to get and you probably don’t have the answer, but I am asking it anyway is how much incremental change do you anticipate coming to the forms or do you think you have, you think this is largely what you’re going to look like entering the season, barring anything from -- dramatic specs?
Bill Cobb : I think we have a majority of information would be my guess, but I don’t want to speak for the IRS in terms of the complete array if you will. Scott that’s why we are being a little cautious in terms of going forward when I made new announcements about monetization or how this is going to impact our interview obviously the forms are more complex. There are a number of avenues that you can take because given that the law of the land now is to have health insurance, if you have it that’s one path if you have it to the exchange that’s another path, if you don’t have it that’s another path. To pay a penalty you will get an exemption. So we are working through all of that. And like I said, we will hopefully give you a much more complete picture as we have what we believe will be all the information by the time we meet with you in December.
Greg Macfarlane : So one specific area I would say that we are still very curious about the penalty process and how that’s going to be actually handled as it relates to reputed tax events and that’s really the main open question that is available to us.
Scott Schneeberger - Oppenheimer: And then curious I am curious to get your take on, we’ve now gone two years where instead of mid January start we’ve had a late January start. Even that’s going to be the new norm and reasons why or why not. And then just any thought whatever your answer is on how we may think about model in third and fourth quarter. Thank you.
Bill Cobb : Yes, I think -- I don’t think we know at this point. I think the plan is the IRS sometime in the fall will give us an indication of when the file will open. Obviously over the last few years, there were some mitigating circumstances around the fiscal cliff and then government shutdown. Whether or not anything comes out of -- there is an election year there will be leaned obsession but I think we may know before that. So I think -- so the IRS is working closer where we have not gotten any special word on that at this point.
Scott Schneeberger - Oppenheimer: And then just a couple of more quick ones. I noticed it’s in the release with regard to the elevated expense and then seasonally soft quarter year-over-year. Just curious Greg if you could address higher wages higher occupancy cost and then offset by the legal fees part. If everything going as planned at this point of the year, should we think of anything more or less with regard to a spend on monetization of stores or anything else to think about that.
Greg Macfarlane : Yes, I mean there are a lot of moving pieces in the expense line, I think normally our 1Q and 2Q, we do spend more time talking you all about our expense planned but what we are going to do though is really in December better kind of idea we think margins are going to be. We continue to articulate the 27% or 32% range. 31% last year EBITDA margins and 32% the year before. Those you can be tracked. We could see if this is up in the first quarter part of that was timing. We’ve referred to the revenue shift in Canada because of the delay there past the April 30 cutoff for their tax year ’14, that all types of expenses that moved from the fourth quarter to first quarter. We had some wages increase which is really some additional headcount that we’d have added to system really around, some of these growth initiatives, some things we’ve talked to you all about before. Other than that, we saw a lot of timing things. Of course DNA was up; CapEx was up last couple of years. It’s just more math. We’ve seen some of the rent costs go up a little bit and I think that’s mostly a function of just inflation combined with probably gotten through our shrinkage period with Wal-Mart and Sears and we’re more stable that maybe adding a slight number of new stores. So there is a lot of moving pieces, but that’s kind of the highlights for you.
Scott Schneeberger - Oppenheimer: Thanks for sharing that. And then lastly the towing agreement this is I think second quarter in a row where there is an increase to the loan loss reserve. Clearly you have a lot of disperse occurring. I know you can’t share too much I guess Greg you are the right guy to ask. With two quarters in a row is how should we think about that, is there anything dramatic going on, is the end near?
Greg MacFarlane : Well I mean my kind of point of view assuming the people behind us really think right so I will just give you point of view. And I have in the frequent regular kind of continuations with the. I feel it’s a positive. The tolling arrangements that Sand Canyon has entered into are almost exclusively short term in nature and that’s measured in a couple of months usually. The fact that Sand Canyon and its Board of Directors feels there is value and therefore renews them is a good sign in my view of they thought it was always trying to them and said why they were needed in my kind of thinking. And it’s a fact that there is -- in again my perspective a small amount of change the reserve is in the grand scheme of things is pretty small. To me suggests they are probably closer to some resolution but time will tell these things take a longer than we always want them to. In my mind it’s always in a positive step forward. Okay, thanks for taking my question guys.
Operator: Your next question comes from the line of Anjaneya Singh from Credit Suisse. Your line is open.
Anjaneya Singh - Credit Suisse: From a complexity perspective and the draft forms that are available it seems the 89.62 is a lot more complex than the 89.65. Is there a minimal change from this juncture? Do you foresee a pricing opportunity on both of these forms? So if you could just help us think about that, I’d appreciate it.
Bill Cobb : Again, I’m going to frustrate everybody by saying that we are looking closely at all of this; we want to make sure that we look at this question as opposed to form by from, what could we price this at. We’re looking at in the totality of the entire tax return and what might be -- what might the life -- the best used cases on life situation being conjunction with these forms. So it’s a little more complex in saying 8962 we can get X amount for that. So that work is underway and as I said, it’s a combination of what we know now and try to model that out and then knowing that there may be additional information. Again, I think that what you will see in December is more clarity from us. I doubt we’re going to give a pricing schedule, but we haven’t got to that level of specificity because I don’t think for competitive reasons we should do that. But I do think we’re going to give you a better feel for how we see this whole thing unfolding and again we’re not trying to just kick everything to December, but it actually is a really good time for us. Our plans are done. Our conventions are done with our company operations and franchisees. We’re very close to tax season, so it really does work well in terms of being able to expose to our investors where we see that the tax season unfolding.
Anjaneya Singh - Credit Suisse: Okay that’s helpful and more for me. On the digital side, what is your thinking on retention of your current mix of customers as let’s say into what was to be aggressive on price again and if you could share any changes or investments in the product experience for the 2015 tax season?
Bill Cobb : I think Jason led out last year at Investor Day a two-year plan in terms of user experience and upgrading the product. That is on pace. You will see further enhancement here. I am very excited about the work he and his team have done, so you’ll certainly see an enhanced product with regard to pricing again like I told Kartik. I am not going to comment specifically on that, but obviously we’ve done a lot of analysis on last tax season and we’re formulating our plans as we speak for next year.
Operator: Your last question comes from the line of Michael Millman from Millman Research. Your line is open.
Michael Millman - Millman Research: Thank you. I am following up on some of the things in terms of return count for both you and from the IRS; it would seem 1% to 2% is below where employment was this year. And we take into account something a couple of percent from ACA industry could grow faster than this and I would think that block considering last year cut some returns for profitability reason, the numbers should be better, would like to make comments on that?
Greg Macfarlane : Yes maybe Mike thank you for the question. So the guidance that we gave a little bit earlier, Bill outlined is really I think of it as a normal expectations based on employments and some other factors we have in our model. We from an ACA perspective we didn't really take a position on that forecast.
Michael Millman - Millman Research: Okay in terms of pricing excluding now the ACA pricing, last year your prices were up importantly because you reduced low price products, but we think about this year’s re revenue per return as being greater than that? Liberty, Don, you talked about 5% and that can give promises anything that might help us think about your revenue per return thinking?
Greg Macfarlane : Adding the revenue per return is also a function of mix of match, it’s not just a function of price. But I will just isolate price for you, we will tell as an industry that we have pricing power on the assistive side. We know that last 50 curves were quite well. We have pricing power in DIY business, it’s not quite strong but I’ll focus really on retail side. We have blocked in last 10 years of increase our pricing, all things being equal other than price a little bit great than the rate of inflation so that’s kind of our expression of pricing power. Last year we did a lot of clean up things more discounts controls limited to some promotional campaigns like the pretty easy, that's had a price impact, but it’s not traditionally pricing. In terms of the go forward look around ACA as Bill has mentioned, but we’re not prepared to talk about that at this point.
Michael Millman - Millman Research: Okay and third maybe to ask, can you talk about whatever you believe that ACA is going result and kind of refund delays this year and next season?
Bill Cobb : I don’t know Mike. It’s a good question in terms of how we anticipate things playing out. I do think the IRS given that this is the first year. I don’t think I’d messed around with. I would underestimate the IRS. I wouldn’t mess around with trying to see if we can beat the system because I think they’re going to be very keen to make sure that people are answering their -- answering -- putting the forms together the right way. I think there will be very attuned to this area whether that will delay refund. Again, I think if take some liberty you’re going to be in separate [ph] processing and nobody wants to go there. So I don’t know again, we got to see how this plays out. This is the first year of that there will be some shakeout, but it’s an interesting observation and we’ll start to see how it plays out.
Operator: There are no further questions at this time. I will now turn the call back over to management.
Bill Cobb : Thank you everyone for joining us today. This concludes today’s call.
Operator: This concludes today’s conference call. You may now disconnect.